Operator: Good morning, ladies and gentlemen, and welcome to the WOW Second Quarter Earnings Call. As a reminder, I want to advise everyone that this call is being recorded. At this time, I would like to turn the call over to Mr. Lucas Binder, WOW!’s Vice President, Corporate Development and Investor Relations. Please go ahead, Mr. Binder.
Lucas Binder: Thank you, Cheryl. Good morning, everyone, and thank you for joining our second quarter 2018 earnings call. With me today is Teresa Elder, WOW’s Chief Executive Officer, who will give – who will be giving an update on our operating activities; and Rich Fish, WOW!’s Chief Financial Officer, who will cover the financial results. Before we get started, we need to remind everyone that during our call, we will make some forward-looking statements about our expected operating results, our business strategy and other matters relating to our business. These forward-looking statements are made in reliance on the safe harbor provisions of the federal securities laws and are subject to known and unknown risks, uncertainties and other factors that may cause our actual operating results, financial position or performance to be materially different from those expressed or implied in our forward-looking statements. You are cautioned not to place undue reliance on such forward-looking statements. We disclaim any obligation to update such forward-looking statements. For additional information concerning factors that could affect our financial results or cause actual results to differ materially from our forward-looking statements, please refer to our filings with the SEC, including the Risk Factors section of our Form 10-K filed with the SEC. In addition, please note that in today’s call and in our earnings release, we refer to certain non-GAAP financial measures. Such measures include: revenue, including acquisitions and dispositions; residential subscription revenue, including acquisitions and dispositions; Business Services subscription revenue, including acquisitions and dispositions; adjusted EBITDA; transaction-adjusted EBITDA; transaction-adjusted capital expenditures; and adjusted diluted earnings per share. While the company believes these non-GAAP financial measures provide useful information for investors, the presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. These non-GAAP measures are reconciled in our earnings release to the most comparable GAAP measures. Now I’ll turn the call over to Teresa.
Teresa Elder: Thanks, Lucas, and thank you, everyone, for joining today’s call. Let me start by saying we remain on track with our business transformation, and the leading indicators we monitor on a daily basis continue to demonstrate improving trends. While we execute on our vision, our employees are engaged and encouraged for the future. I would like to review some of our second quarter highlights, and Rich will provide specifics around the second quarter results and outlook. In the second quarter, we added 3,900 HSD RGUs, which represents the best second quarter for HSD RGUs net additions in the last four years. Importantly, organic net additions for the second quarter were 1,600. In the face of our annual rate increase implemented at the beginning of the quarter and second quarter seasonality, we are especially heartened by these results Additionally, 2018 second quarter subscriber churn represents the lowest second quarter subscriber churn in at least two years. During the second quarter of 2018, we grew total subscribers by 1,600, which was the best net subscriber metric for a second quarter in the last four years. We are still in the early phases of executing on our strategic vision toward operational excellence and our return to growth. This is an encouraging way to start the year. For the second quarter, Business Services subscription revenue, including acquisitions and dispositions, grew 15.6%, continuing our trend of double-digit growth in this segment. Among our unique growth opportunities is our ability to extend our network through Edge-Outs. The 2016 Edge-Out Nodes reached 32.5% penetration, and our 2017 Edge-Out Nodes continued ramping well and achieved 25.3% penetration as of June 30, 2018. So far this year, our 2,000 Edge-Out Nodes expanded our homes passed by 7,100 in the second quarter for a total of 9,200 homes passed on such nodes and have already achieved 7.6% penetration after only 30 days in the market. In addition, as we mentioned over the last two calls, we have the ability to expand our addressable market even further through our Edge-Ins. We targeted 30,000 Edge-In homes to be added throughout 2018. And I’m pleased to report that as of today, we have already achieved our full-year goal of 30,000 homes passed through Edge-Ins. Between Edge-Outs and Edge-Ins, we expect to add around 70,000 homes passed in 2018, which would exceed the total additions to homes passed through Edge-Outs in 2017. Now I know we have discussed our vision in the past, and that vision is to connect people to their world through the WOW! experience, which we define as reliable, easy and pleasantly surprising every time. Our performance in the second quarter continues the implementation and execution of this vision. We’re still though in the renovation phase of our plan, but I’m excited to share some of the recent developments that we believe will position WOW! for a strong second-half of 2018 and a return to growth in 2019. Let me first provide an update on our investments through the first-half of 2018 and how we are progressing on our strategic initiatives. As a reminder, we expect to spend between $20 million and $25 million on these initiatives in 2018. So this year, we are investing in tools to transform how we deliver the WOW! Experience. We treat our customers as neighbors, not numbers, and we really relate to them on a personal level. To better assist our customers, we started 2018 by staffing up our care organization to ensure we were as well-positioned as possible to drive improvements in service levels to handle anticipated increases in call volume associated with the planned rate increase that began on April 1. Additionally, we’re continuing to develop new ways to interact with our customers on their terms. With these tools, such as improvements to the call flow and the interactive voice response, we’re able to serve a modern and mobile customer base that increasingly wants to have more options. The impact thus far has been substantial. We saw a significant improvement in service levels on a year-over-year basis and a significant improvement in service levels compared to prior rate increase cycles. As a result, we continued the improvement in churn momentum experienced in the first quarter of 2018. On the customer acquisition and retention front, our investments in marketing and sales are expanding the WOW! brand presence, while adding more quota-bearing sales headcount. These investments are well underway through the first-half of 2018. We are fortifying our efforts to be an active and engaged participant in the local communities in which we live and work. We remain on track with our investments throughout the year. We’ve been developing a new website, incorporating an improved online buying experience. July saw WOW! launch Phase 1 of wowway.com, enabling our customers the ability to order services from WOW! online. We will continue to add revisions and evolve the online experience to drive greater ease of use and improve the buying experience. In July, we launched WOW!’s Whole Home WiFi service. WOW!’s Whole Home WiFi service is now available in the majority of WOW!’s footprint following the good response we saw in our initial test markets of Columbus, Ohio and Pinellas County, Florida. For WOW!’s customers, there are no to slow zones, no dead zones, just WOW! zones, meaning half of free downloading, streaming and gaming from every corner of the house. With tens of billions of connected devices expected into the future and some households expected to have up to 50 devices connected via a single Wi-Fi network, reliable and secure Wi-Fi is critical for customer satisfaction. Our Whole Home WiFi is easily bundled with WOW!’s Residential Internet services. With WOW!’s Whole Home WiFi, customers can choose from a handful of fast Internet speed options, alongside TV and phone packages that are best suited to their needs. We are really excited to share the news of this next-generation product launch from WOW! and we’ve seen tremendous enthusiasm and a strong response from across the business. Just past halfway through the year, I’m pleased to share how our team has executed on our investments and how we have driven the velocity of change. We’re starting to see some of our efforts come to fruition through the product and website launches, lower churn and operational excellence. The investments we have made in our people have also continued to show improvements on top of the favorable results we saw in the first quarter. We’ve been focusing on training, development, compensation and recognition efforts. As a business, it is in our DNA to WOW! our customers, where customer service is not just what we do, it’s who we are. We’re also doing REPS, which is our shorthand for reliable, easy and pleasantly surprising. We’re doing our REPS to get fit and bring WOW! back to full strength. We are reigniting the energy and passion of our people. As we look to the back-half of the year, we’re heartened by our abilities to successfully win and retain customer relationships within our organic footprint. We came through the rate increase and second quarter seasonality, continuing to generate positive organic HSD RGU growth, driven by our lowest second quarter churn in at least two years. We continue to expect adjusted EBITDA to improve sequentially throughout the year with a modest improvement in the third quarter, as we ramp up our digital transformation spending and drive to the fourth quarter, where we expect to demonstrate year-over-year growth in adjusted EBITDA. For the full-year, we continue to expect our first year of positive free cash flow. As we have discussed on this call and in the past, there are a number of leading indicators that we watch to monitor progress towards the execution of our vision, and they continue to show positive trends. At the top of this list are our people and customers. Our employee net promoter scores, which measure how likely an employ is to refer others to work for WOW!, have continued to improve over the second quarter – first quarter to record levels. Additionally, customer satisfaction scores across the field and customer care teams are continuing their overall positive trends. We watch all of these metrics closely as they are indicators that ultimately will result in a return to consistent subscriber growth and positive adjusted EBITDA growth. On our last call, we highlighted our employee focus and success in Columbus, Ohio. This quarter, WOW! won awards as the best and brightest company to work for in Metro Detroit for the sixth year in a row. Our Newnan Georgia market within Atlanta and Chicago for the ninth year in a row. We’re so proud of our teams for their tireless work and positive attitude. Achieving each of these initiatives for our customers, people and investors, is an exciting challenge and a challenge that absolutely within our reach. We remain confident in our ability to execute on our long-term vision. I continue to be energized by the great people at WOW!, and I’m inspired by the many ways our employees have found to deliver exceptional customer experiences. I truly believe we have the passion and ability to WOW! our customers. Our teams are aligned and we’ve sharpened our focus on key priorities, which we believe will result in a return to consistent subscriber growth and positive adjusted EBITDA growth. Now I’ll turn it over to Rich to review our second quarter 2018 results. Rich?
Richard Fish: Thanks, Teresa. We continue to be encouraged by our progress and are pleased to be able to report this afternoon that we’re executing in accordance with our expectations. While for the second quarter of 2018, we reported total revenue of $291.3 million, net income of $25.2 million, and adjusted EBITDA of $102.2 million. Net income per share for the second quarter totaled $0.31 and adjusted diluted earnings per share was $0.39. For the second quarter, total revenues were up 2% sequentially over the first quarter of 2018. This was driven by the benefits of HSD RGU growth, both Edge-Ins and Edge-Outs – I’m sorry, Edge-Outs and organic, as well as the benefits from the price increase that was implemented at the start of the second quarter. Second quarter 2018 adjusted EBITDA of $102.2 million was a sequential increase of 6.1% over the first quarter of 2018. As Teresa highlighted, we had strong subscriber metrics during the second quarter. We added 3,900 total HSD RGUs, which included positive organic HSD RGU growth totaling 1,600. This represented an improvement of 6,800, as compared to the second quarter of last year and is particularly encouraging in what is traditionally our toughest quarter seasonally and one in which we implemented our price increase this year. Net video RGUs decreased by a total of just 9,100 during the second quarter, which is the best second quarter net video RGU results in the last three years and a year-over-year improvement in the rate of net video losses of 6,700, or over 42%, as compared to the second quarter of 2017. Overall, our total RGU performance was the best second quarter results that we’ve delivered in at least the last four years. Total subscriber results also demonstrated strong momentum in the second quarter with an increase in total subscribers of 1,600. Similar to our total RGU performance, this represents the best net subscriber metrics for a second quarter in the last four years as well. Business Services subscription revenue totaled $32.6 million in the second quarter of the year, a year-over-year increase of $3.9 million or 13.6%. Adjusting for the effect of historical transactions, Business Services subscription revenue, including acquisitions and dispositions, for the quarter increased $4.4 million, or 15.6% over the second quarter of last year. We’re very pleased with the growth opportunity in this segment and we remain optimistic that we’ll continue to have double-digit growth in Business Services on a going-forward basis. At June 30, 2018, as a result of the Edge-Out initiatives that we started in 2016, we’ve extended our network by more than 116,000 new homes passed. The Edge-Out Nodes we started in 2016 have added a total of 41,500 new homes passed and we’ve achieved 32.5% penetration in these communities. The 2017 Edge-Out Nodes have added 65,900 new homes passed and have been in the market at an average of 376 days. Penetration continues to ramp and is now at 25.3%. In the Edge-Out Nodes, we started just this year in 2018 have added 9,200 new homes passed have an average of just 30 days in the market and have reached 7.6% penetration at the end of the second quarter. We’re obviously very pleased with the continued performance of Edge-Outs, in that we’ve been able to identify attractive opportunities and deploy capital to drive growth in the business. We expect to add approximately 70,000 new homes passed to our network in 2018, combining the 40,000 from Edge-Outs and the 30,000 from Edge-Ins. As Teresa mentioned earlier, we’ve already achieved our 2018 full-year goal of adding the 30,000 homes passed through Edge-In opportunities. Total capital expenditures for the second quarter of 2018 were $77 million on a reported basis. Of that amount, $6.4 million was incurred towards the completion of the Chicago Fiber project, which will be reimbursed as elements of the final build-out are completed. We’re on track with our efforts to complete that network build and expect that it will be completed during the first-half of next year. With regard to liquidity and leverage. As of the end of the second quarter, we had $17.1 million in cash on hand and outstanding debt totaling $2.28 billion. Accordingly, total leverage at June 30, 2018 was 5.4 times on a trailing 12-month transaction adjusted EBITDA basis. The company has significant available total liquidity through the combination of its cash balance, expected positive free cash flow for the year, and approximately $280 million of undrawn revolver capacity. In addition, as a reminder, the company has a very favorable tax position. As of the end of the last fiscal year, we have available NOLs totaling approximately $650 million and we don’t expect to be a significant federal cash income taxpayer until at least 2022. In May of this year, we announced a $25 million common stock repurchase program. As of today, the company has repurchased approximately 2.5 million shares in the open market, completing that authorized buyback program. As I’m sure many of you may have seen concurrent with today’s filing of the Form 10-Q, we filed an S-3 shelf registration statement with the SEC on behalf of our sponsor shareholders. This represents a good housekeeping measure to get the shelf on file and to get the process of getting it effective started with the SEC. And finally, to address our outlook for the remainder of the year, we’ve previously provided insight as to how we expect adjusted EBITDA to trend throughout 2018, specifically in that we expect sequential increases each quarter of this year ultimately culminating in year-over-year growth in adjusted EBITDA by the fourth quarter of 2018. Accordingly, we’re reiterating our financial guidance for the full-year 2018. So that concludes our prepared remarks. And I’ll turn it back to the operator for questions.
Operator: [Operator Instructions] Our first question comes from the line of John Hodulik of UBS. Please go ahead. Your line is open.
Batya Levi: Great. Thank you. This is Batya Levi for John. Good improvement in high-speed data sales this quarter. Can you provide some color if this momentum continued into July? And you’re almost at the high-end of your guidance for net adds this year. Can we see some upside there? And the second question on the Edge-Outs. The penetration continues to ramp. Can you talk about your plans for maybe future Edge-Outs and if we can see that 40,000 ramp continue on an annual basis? Thank you.
Teresa Elder: Great. Thanks so much, Batya. Yes, we’re very pleased with the improvement we’ve seen in Edge-Out growth as well as in HSD. So this quarter, we continue to be comfortable with how are competing in the marketplace. We are at – as we’ve said before, nearly 95% of our footprint is 1 gig. We believe we offer competitive pricing to all of our customers and we’re also pleased to be marketing that with our Whole Home WiFi product. And customers seem to be really wowed by that experience when we put it into the marketplace. We know that there’s still an awful lot to do with our execution and competition, definitely is robust. We continue to see competitors pushing into our markets and we just have to keep competing. So we’re not doing any kind of changing of guidance on any of our numbers. In terms of the second-half of your question on Edge-Outs, I think, we’re on track with 40,000 Edge-Outs to add to the 30,000 Edge-Ins for this year. And for 2019 and beyond, I – we have not offered any numbers yet. But we know that there is still plenty of upside opportunity for us when we look at what’s out there. So we’ll be looking at 2019 numbers certainly in the coming months.
Batya Levi: Okay. Thank you.
Operator: Your next question comes from the line of James Ratcliffe of Evercore. Please go ahead. Your line is open.
James Ratcliffe: Thanks for taking the question. Two, if I could. First, can you give us a sense of what the competitive environment was looking like in the quarter and particularly in terms of promotional activity you’re facing out there, if you’re seeing any changes in that, particularly from AT&T? And secondly, any thoughts on mobile and your potential role on that front, both whether it makes sense to explore, offering a quad play, and secondly, if in terms of partnering or providing services to mobile carriers or backhaul? Thanks.
Teresa Elder: You bet. Thanks so much, James. Yes, we absolutely are operating in a competitive environment, which is what I love and I spent half of my career in the wireless environment, which is extremely competitive. So I think that address kind of both of your questions, both halves of it. So, yes, we’ve continued to see competitive markets. I don’t know that there has been any big shift in this quarter over other ones or anything specifically related to AT&T that is different to your question. I can tell you that we continue to feel confident in our ability to compete. We feel confident in our ability to retain our customer relationships as well, and everything we do is really customer-driven. So when we think about wireless, we would look at that as if it is something that really our customers are wanting from us. But right now, we look at wireless opportunities really from a wholesale perspective and the opportunities to provide backhaul there, and that seems to be, I think, a winning strategy for us at this point.
James Ratcliffe: Great. Thank you.
Operator: Your next question comes from the line of Zach Silver of B. Riley FBR. Please go ahead. Your line is open.
Zach Silver: All right. Hey, guys, thanks for taking the questions. Number one, I think, being able to buy through the website is something that’s happened a little bit ahead of schedule. Can you talk about what kind of impact you think that the online channel will have? And if you have any early learnings from this? Additionally on that, do you have plans to kind of do an online chat support? And if so what’s the timing on that? And then the second part is, I know there’s probably not a lot that you can say about the S-3. But given that Crestview used to own over 60% of the equity. How should we kind of think about getting comfortable with the potential overhang from maybe some share sales down the road, but at the same time improving operating results like you’ve shown this quarter? Thanks.
Teresa Elder: Great. Thanks, Zach. I’ll take the first couple and then hand out the third to Rich. Regarding the website, yes, we’re pleased with the deployment of that. This is part of the digital transformation that we’ve been talking about from early in the year. I think, customers like to be able to do things through websites, that’s certainly clear, and we’re just in the early days of learning what exactly the dynamics are. We know we’re getting significant activity and closing well on the website. I think at a minimum, it’s a lower-cost channel, but what we really think is that, there are probably some incremental customers that would not want to bother with calling in to buy through us. So we think it’s both halves of the coin here and we’re encouraged. So no results really to talk about yet. And on that note – definitely will in the future. But yes, we’re really, really pleased with the fine work that the team has done on launching this and already really operationalizing it. And one of the things that we’ll continue to do is add functionality as time goes on and pretty rapid releases. So things like self-service and online chat down the road are exactly the kind of things that we’re thinking about and we should be able to provide in the near future.
Zach Silver: Got it. And is there any kind of timing on the kind of self-serve and chat, or is that just something that is going to come along as your learnings through the digital transformation progress?
Teresa Elder: Yes. Yes, we have a roadmap for all of that and continue – we will continue to do releases really even every few weeks for the remainder of the year and then continue to improve it. So there’s a full roadmap for that for a number of things that we’re able to do. So stay tuned. Keep checking back to the website.
Zach Silver: Okay, great.
Richard Fish: And then Zach, just on the comment or the question about the S-3, there’s really nothing much more to add. I think, it’s fairly typical in sponsor-led situations to get a shelf registration on file with the SEC and to get it effective. So really, at this point, that’s really what we’re doing. We’re just getting the process started. As you know, I think, the SEC will decide whether they want to review it and comment, et cetera. So we’re just starting the process from a mechanical standpoint to get that going.
Zach Silver: Okay, that’s great. Thank you very much, guys.
Operator: Your next question comes from the line of Frank Louthan of Raymond James. Please go ahead. Your line is open.
Frank Louthan: Great. Thank you. Have all of the cost increases that you put in gone through across all of your systems? Anymore tail for that, that’s going to come out in the third quarter? And are there really promotions or any other activity like that in the quarter that may have helped with either the revenue or the – these are wireless – I’m sorry, either the broadband or the video subs? Thanks.
Teresa Elder: So on the rate increase, that was really completed in the second quarter. So we feel the tails of that is all done now. Those went into effect right in the April first cycle and then we answered customers’ calls and got that all rolled in. So I feel like that one is pretty well put into bed and rolled into our numbers. I think, we always are competitive and have a variety of offerings in the marketplace. And so I don’t think there’s anything particularly special that we did in this quarter. If anything we usually are – as we’ve said before have been concerned about second quarter, just in general in this industry, seasonality in this quarter. We, of course, have made sure our retention efforts are very strong and that we’re responding to customers when they call and that we are trying to make sure that we’re getting ahead of the game offering the really the best value out there, especially when it comes to broadband.
Frank Louthan: Okay, great. Thank you. And just one other thing. Are there any systems in the sort of smaller outlined systems in your network that you might consider divesting so you can clean things up or improve the balance sheet?
Teresa Elder: Yes. We really don’t have any plans to do anything like that at this time.
Frank Louthan: Okay, great. Thank you very much.
Operator: Your next question comes from the line of Brian Russo of Credit Suisse. Please go ahead. Your line is open.
Brian Russo: Hi, thanks. I have two questions. My first one relates to the $20 million to $25 million of growth investments that you’re making this year in products and customer care, sales and marketing. When we start to think about next year, to what extent should we be thinking about these investments as kind of one-time in nature versus continuous improvement you feel that business might benefit from, given how well they seem to have been paying off so far this year? And then my second question is on your HSD ARPU. You’ve reported some really strong growth there. I was hoping you can give us some perspective on kind of how much of this growth was related to the price action as opposed to customers who might be trading up to the higher speed tiers? Thanks.
Teresa Elder: Okay, great. Thanks for the questions, Brian. Regarding the $20 million to $25 million, we have bucketed that in three buckets. The first being really around care and that was the staffing up of the appropriate number of people. So that we could improve our service level, which we define as the percentage of calls that are answered within 30 seconds and really making sure that our care team is also trained and has the systems they need to resolve customers’ questions in the first call. so that was one-third of it. And the other third is really around sales and marketing and making sure we have the people in the market, not only to do new campaigns, new product launches, but also the salespeople we needed the feet on the street and through all of our channels to respond to this demand. And then the last bucket is the digital transformation, which are these things like the website and the new improvements that we’re seeing and abilities to do self-care down the road and a whole variety of things. So some of these we feel are ongoing cost to our business and third quarter, I think, it’s where we’re going to see some of that investment hit in a bigger way. And that overall, is going to help us with our growth for next year certainly. We think, at least, about a third of that is probably not recurring and are really investments in things that are more one-time for this year. So Rich you want to add to that.
Richard Fish: No.
Teresa Elder: Okay. I think that’s kind of how we think about the $20 million to $25 million. On the HSD ARPU, we did take our rate increase on HSD, which is – and I think one of the first that we’ve done. And that’s, because we felt although we have the best value product out there, we have the ability to raise that a little bit. And yes, we definitely are moving people up in the speed tears as they add more devices to their home, as they have more need for streaming services than others. So it is a bit of a mix with higher speeds as well as the rate increase.
Richard Fish: Yep.
Brian Russo: Gotcha. Thank you very much.
Operator: Your next question comes from the line of Brandon Nispel of KeyBanc Capital Markets. Please go ahead. Your line is open.
Brandon Nispel: Thanks for taking the questions. I have two. On the Edge-Ins, are these type of builds more or expenses than what you typically have said about your Edge-Outs, maybe compare and contrast economics between those two would be great? And then on video and just overall bundling, do you think there’s an advantage in bundling different services with your HSD service? And do you need to invest in your video business in order to improve the bundled allocation mix? Thanks.
Teresa Elder: Okay. Thanks, Brandon. I’ll take the vide bundling question first and then hand to Dr. Rich, to answer the Edge-In cost question. Right now, we see about half of our customers bundle the HSD product with video services, and therefore, half take HSD on their own. We definitely see that our customers love video content, no matter, how they get that, and see really great benefits to that. So that is something that we continue to want to remain competitive in and make sure that we’re offering a great service to our customers on each of our products, but as they think about them together. So that we definitely are looking at them together, as well as keeping each of our products very competitive.
Brandon Nispel: Teresa, I guess, if I could just follow-up, and that does it improve churn? Is there anything that you can quantify in terms of the bundled customers half of them with – what the does to actual churn?
Teresa Elder: Yes, I don’t think we usually break out churn in that way when we talk about it. I think, the most important thing is getting the customers whatever it is that they want at the price that they want to – that is appropriate for their budget. So getting them on the right tiers, getting them on the right package plan, getting them on the right seed, and that’s where I feel like the great sales and care people that we have. I’ve been trained well to really make sure they’re understanding what customers want. So they feel like they’re paying for the services that they’re actually using. And that’s one of the reasons we’ve had just record levels of churn reduction and churn numbers in this whole first-half of the year. So on the Edge-Ins?
Richard Fish: Yes, and on Edge-Ins, Edge-Ins are really – the economics are actually quite different from Edge-Outs. In that, as you know, Edge-Outs are a project where we are building and incurring construction costs to extend our network to a neighborhood that is adjacent to our existing footprint. SO when we evaluate the return on an Edge-Out project, it’s really taking all of the construction costs to extend the network to the new home – number of homes passed, as well as the cost of the incremental customer additions that we get out of that agile property. So Edge-Ins are actually quite different in that when we refer to a home that is being added to our network that is classified as an Edge-In is a home that previously, for whatever reason, and there are a variety and many of them. They represent a home that has not been active in our database that is inside of our already existing organic footprint. So this distinguishing criterion is obviously the are existing networks and service capabilities to the Edge-In home, which is just been identified. That already exist. So to sell to and capture that opportunity on a per customer basis, there really is no construction costs, all the incremental costs are associated with just the CPE and the line extension to that individual customers’ home. So our return profile on Edge-Outs is phenomenal. And as you can imagine, it’s even better as it relates to Edge-Ins, which is one of the reasons why it’s such an opportunity for us, not only this year, but on a continuing basis as we continue to have greater visibility into these opportunities.
Brandon Nispel: Awesome. Thanks for the color. And I guess, if you guys have completed the 30,000 so far this year, are you going to be doing more, and I guess, could you share with us your plans? Thanks.
Teresa Elder: Yes. I think we have probably an ability to do a bit more on Edge-Ins. What we really want to do at this point is unleash our sales and marketing people to just really sell away and that 30,000 new homes that we have, as well as, of course, the Edge-Outs that are coming. And so that’s really our focus is to continue to drive penetration and provide services to those customers right now.
Brandon Nispel: Okay. Thank you for taking the questions.
Operator: Your next question comes from the line of Amy Yong of Macquarie. Please go ahead. Your line is open.
Rachel Arrowood: Hi, this is Rachel for Amy. Two quick questions. First, given Comcast’s recent distraction with Fox, have you seen that as an opportunity? And then secondly, what are your thoughts on balancing buybacks and liquidity in the stock?
Richard Fish: Rachel, I’m sorry, we didn’t catch the first part of your question. Could you please repeat that?
Rachel Arrowood: Sure. I was just asking, given Comcast’s recent distraction with Fox, have you seen that as an opportunity to take additional share?
Teresa Elder: We continue to be, I think, quite competitive with all of the big guys out there, whether it’s Comcast or Charter or whomever. So, yes, we tend to sell rapidly. And if the opportunity exists, we are rolling forward when competitors might be distracted by other thing. In terms of the buyback, you may have seen we said we just completed the $25 million buyback that we announced in the last quarter. And we feel good about the price that we paid for that, and that the stock we feel has great value ahead of it.
Rachel Arrowood: Thank you.
Operator: There are no further questions at this time. I would like to call – turn the call over to Teresa Elder for closing remarks.
Teresa Elder: Well, thank you so much for all the questions, everyone. We appreciate you joining us this afternoon. Thanks for your continued interest in our business and your support of WOW!. Have a great day. Thanks.
Operator: This concludes today’s conference call. You may now disconnect.